Operator: Greetings, and welcome to the Astronics Corporation's Fourth Quarter Year End 2012 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Pawlowski, Investor Relations for Astronics Corporation. Thank you. Ms. Pawlowski, you may begin. 
Deborah K. Pawlowski: Thank you, Kevin, and good morning, everyone. We certainly appreciate your time and interest today in Astronics. On the call I have Peter Gundermann, Astronics' President and CEO; and Dave Burney, Chief Financial Officer; and also, Mark Peabody, Executive Vice President. We will discuss the results of the quarter and the company strategy and outlook, and then open the call for a question-and-answer session. 
 If you don't have the release from this morning, it is available on the company website at www.astronics.com. As you are our aware, we may make some forward-looking statements during the formal presentation and the question-and-answer portion of this teleconference. These statements apply to future events, and are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in our earnings release, as well as in documents filed by the company with the Securities and Exchange Commission, which can be found at our website or at sec.gov. 
 So with that, let me turn the call over to Pete. Peter? 
Peter Gundermann: Thanks, Debbie. Good morning, everybody. I'm going to talk through a quick summary of our fourth quarter and the year just completed, and then spend a few minutes talking about the new year, 2013, and then open it up for questions. 
 We felt the fourth quarter was a fairly strong close to the year. Revenue came in at $67.4 million, which is up 10% over the fourth quarter of 2011 and our second best-ever after the preceding quarter, the third quarter of 2012. Our revenues were 95%, 96% Aerospace and 4% Test Systems. Net profit was $5.7 million, which is 8.4% of sales and $0.37 per diluted share. 
 Some color comments underneath the numbers. Our E&D expenses for the quarter were $11.1 million. That's up $1.6 million over the fourth quarter from last year and pretty much on par with where we expect our investment to be going forward. We'll talk about that a little bit more in a minute. We did have some revenue slides in the quarter of about $3 million to $4 million for various reasons, mostly customer-driven, although we did, at the end of the quarter, move our largest operation, our AES operation, Advanced Electronic Systems from an older facility to a newer facility. That move went real smoothly. We can't put our finger on it, specifically, for some of these revenue slides, but we did have that happen. About $3 million to $4 million, it's safe to say. 
 We also, during the quarter, took a rather large legal expense hit of about $1 million. That was to resolve an ongoing suit that we've been involved with over the course of the year. Over the year, our expenses related to the suit were about $2 million, $1 million of it falling in the fourth quarter. That resolution wasn't necessarily a happy resolution from our standpoint. And essentially, we ended up losing our preliminary hearing, preliminary decision, and basically came to the decision that while I think we could have reversed it potentially, if we chose to litigate and continue, it wasn't really worthwhile, and we settled and -- moving on. So that was $1 million of expense related to that little misadventure in the fourth quarter. 
 Bookings in the fourth quarter were $66.3 million, that's pretty much in line with our average for 2012 and we think sets us up really well for 2013. 
 So for the year as a whole. Revenue came in at $266.4 million, up 17% over 2011. Net income was $21.8 million or 8.2% of sales, about the same as our 2011 net income, when we came in at $21.6 million, 9.5% of sales. 2012 earnings per diluted share was $1.45. It was a year of significant investment. We ended up with engineering and development investment of $45 million, up from $36 million in 2011. We've talked about the nature of that investment on and off during these phone calls for quite a while. We believe it continues to show the range of opportunities that we're pursuing and the increased reach that we're having in the market. And we expect, again, as a preview in 2013, to continue at this level based on programs that we have won or believe we are about to win. 
 Our SG&A expenses for the year were $36.8 million, 13.8% of sales, up from $27.2 million in 2011. The difference was $9.6 million. $6.1 million of the $9.6 million was related to the 2 acquisitions we did over the last year and our -- the legal situation I talked about earlier added a $2 million to that SG&A expense also, largely explaining the difference from 1 year to the next. Year-to-date bookings through the end of 2012 totaled $271 million. That's up from $234 million, and we believe, again, supports the growth that we've experienced and reinforces our expectation of the future. 
 Looking at the segments, Aerospace first. We're, again, reporting 2 segments, Aerospace and Test Systems. Aerospace was 96% of our total, $255 million, up 19% from 2011. When we look at our Aerospace segment, we cut it a couple of different ways for you in our information, one is looking at markets, one is looking at products. When you look at our markets, it's a pretty good situation. Our biggest market was up the most, that's always helpful. Commercial Transport, the big commercial jets, was $179 million in revenue for the year, 67% of our total, and up 25%. A pretty spectacular year. 
 Military Aircraft was $36.5 million, making up 13.7% of our total and up marginally at 3.2% for the year. And our Business Jet sales were $29 million, 11% of our total and up 13%. 
 Cutting it by -- cutting our revenues by our products, Cabin Electronics, which is our name for passenger power, electrical power for passengers, primarily for the Commercial Transport but increasingly for Business Jets also, totaled $141 million in revenue, up 23%, and making up slightly more than 1/2 of our total revenues. Aircraft Lighting, which is primarily for us, a Business Jet and Military market -- Military end-use market, totaled $70 million in revenue, about flat with last year and making up 26.2% of our total. And airframe power, which is the flight critical electrical systems primarily for smaller aircraft, totaled for the year $18.7 million, which was actually down 7% and making up about 7% of our total. I might pause here in my explanation just to encourage you not to dismiss or look down on this particular area. It's an area that we're making significant investments in and making significant progress on the market, and I believe, in coming years, will play a much larger percentage of our business as a total. 
 Our Avionics products grouping had revenues of $15 million, 5.6% of our total. This product area is the result of the 2 acquisitions that we did recently, so their growth over the previous year is almost incalculable. And Airfield Lighting, which is the lighting for airports, came in with revenues of $10 million, up 8.7% and 3.6% of our total. So a good story in our Aerospace side of our business. 
 Our Test Systems segment continues to play with a pretty difficult market. We had revenues for the year of $11.5 million, which was 4.3% of our total and down from $14.2 million in 2011. We are not profitable at that level. Our operating loss for the year came in at about just under $5 million. Backlog going into 2013, is $3.6 million. Certainly, people are asking what our strategy and plans are for this particular area and to a certain extent, we are continuing to play the game that we have been, where we believe there are significant opportunities for our technology. We have been frustrated by the lack of funding, and we're expecting and hoping that between the election and the fiscal cliff negotiations, that the logjam of what we perceived to be pent-up demand would somehow break. At this point, there's no movement in that area and now that our elected leaders have kind of pushed the can down the road a little bit, and there's another negotiation coming up and maybe that will do something, but we continue to believe that on the horizon, are significant opportunities, and we need to structure the business, both in terms of recognizing the reality of the day and yet keeping our eye focused on those opportunities down the road. 
 We did, I will remind people as an example, announce almost a year ago, a particular win that if the program had stuck would have been pretty much a game-changer for that segment of ours. It was a $30 million, $40 million program that ended up being canceled by the customer in the wake of 2 protests, and was not re-awarded. So those kinds of opportunities, we believe, exist, but in the current environment, we have detected quite a bit of caution on the part of our customers. They say they want to do things, but they keep not doing them. So it's a little bit of a waiting game. 
 So with that of a summary of the year just closed, I want to turn to the year that we have now begun. We experienced, as I said earlier, 12 months bookings of $271 million, that was up 16% from 2011, and our backlog going into the year was $114.6 million near a record high. We're issuing initial revenue guidance for 2013 of $275 million to $310 million. Obviously, there's -- at this point of the year, we expect some variability there. Our Aerospace business, we're expecting to be in the $265 million to $300 million range. We don't see any real change in our markets, as a summary statement. We expect our business in the Commercial Transport market to be strong and to continue to grow, as passengers expect electrical power as an amenity, and as airlines continue to deliver that amenity, we're not expecting any significant growth in the Military market or in the Business Jet market, even though we are doing significant investments in those areas, which we think will start to pay off when new aircraft are fielded in 2014 and beyond. And as I just got through explaining, we expect to continue with the course on our Test Systems business by focusing on what we need to do to position ourselves for long-term opportunities, while recognizing that the short-term funding environment has been and continues to be quite difficult. We expect our engineering and development expense in the coming year to be similar to what we've been running in recent quarters, in the $42 million to $46 million range. At this point in the year, there's obviously room for that investment level to move a little bit, depending on developments over the course of the year. But for shooting purposes at this point, that's where we expect things to be. 
 I think that ends my prepared comments for 2012 and 2013. So I guess, Kevin, at this point, let's open it up for questions. 
Operator: [Operator Instructions] Our first question is coming from Tyler Hojo from Sidoti & Company. 
Tyler Hojo: Just firstly on the E&D budget, if we go back to 2012 or going into 2012, you provided us some E&D guidance and throughout the year it kind of kept going up every quarter. And I'm just trying to gauge what kind of comfort level you have with the current range, and maybe if you could talk about some of the puts and takes that could push you higher from kind of the current range? 
Peter Gundermann: Sure. Well, the things that are -- one of the assumptions is that some of the major programs that we have been working on are going to drop off. And perhaps, the best known one of those would be our Lear 85 program, something we've been working on for a few years now. And the first flight is planned to be in the coming quarter, I believe, although Mark, you might know a later update than I do on that one. So we're expecting -- we're in the final stages of our own development effort and certification effort associated with that program. But at the same time, we have won a handful of other EPDS, electronic power distribution programs, which we're expecting to ramp at a certain rate. Now, our budgeted numbers take into account that expected ramp-down on the Lear 85 and associated programs and ramp-up on the new programs that we have under contract. So the puts and takes are largely amounts to timing because if something were to happen so that these programs that we're expecting to ramp down, get extended or enlarged with a scope change or something similar, that could obviously cost us more. Or conceivably, we could win other programs that we're -- are currently in our plan, that could drive that number higher. But at this point, we're pretty comfortable with that $42 million to $46 million number. 
Tyler Hojo: Is there an assumption within the guidance that you do win some incremental work? Or if something new comes on, it's -- the E&D spend is going higher? 
Peter Gundermann: There's certainly upward potential there. 
Tyler Hojo: Okay. Got it. And moving on to something else, I was just wondering if you could provide us an update on the USB product line. I know you can't specifically speak about customers, but maybe you could give us a sense of how that product's being received and maybe could talk about numbers of customers that have signed on at this point? 
Peter Gundermann: Okay. Well, let me -- first, for the benefit of the rest of the audience, do a little bit of background. What Tyler is referring to is a product that we're developing that is ideally lighter weight and a little bit less cost, ideally suited for narrow-body aircraft. The issue being that our product has, for the most part, been used historically on the wide-body, long-haul airplanes and the demand is increasingly being felt by narrow-body operators. And they would like a product that's a little bit lighter and a little bit cheaper to install. So we've come up with this USB power idea, largely driven by the current popularity of new generation smartphones and tablets, which use USB connections for power. And that product is in development and is being enthusiastically received, I would say -- we would say, by our customers. We don't have it installed yet or flying yet. Mark, I don't know if you want to estimate on when you think it might be. And we're not... 
Mark Peabody: Yes. 
Peter Gundermann: And I would -- just let me finish. I wouldn't say that we're not at liberty at this point to discuss which airlines are signing on. But I think it's safe to say that it's getting widespread attention, geographically all the way -- all around the world and from both exclusively narrow-body operators, but also mainline operators who operate a range of aircraft, who might have kind of full-service IFE systems on their long-haul airplanes and they're looking to complement that with power and various IFE amenities, in-flight entertainment is IFE, on their short-haul airplane. So Mark? 
Mark Peabody: Yes, I would say on the new product, the new USB higher-powered product that we're offering this year, it usually takes about 6 to 8 months from the time of a contract award to actually get the scheduled installs on the aircraft. So I would say that it will be likely we would it see installed in the fourth quarter of this year. 
Peter Gundermann: Just one other comment on that, Tyler, for the narrow-body world. It's important to keep in mind that it's not exclusively a USB market. There are certain airlines who are going to go and who are going, I guess what I'd call more conventional with the 110-volt system. And so that's increasingly common also. 
Operator: Our next question is coming from Michael Callahan from Topeka Capital Markets. 
Michael Callahan: I guess, first, you mentioned in your prepared remarks that there is some revenue that was pushed out of the fourth quarter into the, I guess, into next year. Can you give us a little color as to, I guess, first off is it first quarter, secondly, what types of customers, what types of products, what segments you might have seen those push-outs related to specifically? 
Peter Gundermann: We don't have -- they weren't major program push-outs. So I guess I think I would say is it safe to assume that anything slid out, it slid out from the fourth quarter is going to land in the first quarter, probably already has landed. Some of it may have been customers padding their delivery schedules because we communicated our plan to move in advance. So to create some cushion, people might have had product built and then when they realized everything was kind of smooth, and the team out in Redmond did an excellent job. We transitioned an entire company over a couple of weeks and did it very effectively. So the delays weren't necessarily driven by us, but I think there was some built in expectation there. 
Michael Callahan: Okay. Well, then I guess secondly here, on Cabin Electronics slowed down the growth rate, at least slowed it down a little bit, in the fourth quarter, probably be expected to stay at the same level. But as you go out into next year, revenue guidance up about somewhere around 10% at the midpoint. I guess, where are you guys thinking a lot of that strength comes from, I guess, by segments, presuming that, I guess, Cabin Electronics might have tougher comparisons in '13? 
Peter Gundermann: Yes, I think we're expecting continued strength in our Commercial Transport market, I guess, I'd call it, more than anything. Boeing 787 problem is notwithstanding. We expect that there are a number of factors that should propel continued growth in Commercial Transports. We're of the impression that our Military and Business Jet sales by comparison will continue to be difficult simply because there aren't more airplanes being developed -- or being built. There are more airplanes being developed and we are certainly focusing on those. And even in the Military world, there are certain retrofit opportunities that we think are pretty exciting. But at this point, from a 2013 perspective, we're not thinking that that's where the fireworks are going to be. We think it's going to be kind of more of the same from a revenue standpoint. Strength in Commercial Transports and relatively flat in the other areas. 
Michael Callahan: Okay. Is it -- I guess, 2 quick follow-ups on that one. Is it safe to assume that maybe retrofits on the Cabin Electronics side maybe slowed down and a lot of the growth in the fourth quarter came from higher OEM production? 
Peter Gundermann: No, I don't think I'd say that. We think, especially as the ENC power continues to gain favor in the narrow-body world, that that's largely, at least to begin with, a retrofit play because there's a lot of narrow-bodies out there who need it. So but again, I would -- I usually answer this kind of question by making the point that, to us, a retrofit sale or a new build sale doesn't really look or feel much different. It's an airline deciding to equip their fleet, both the airplanes they're buying and the airplanes they're currently operating with our product. And so the distinction there to us is not really significant. 
Michael Callahan: Okay, and then just lastly here, on the 787, which you mentioned. How big of a push-out would you need to see as far as a change in rates or just ongoing issues before you guys would really see much impact. I assume that it would kind of take a while. 
Peter Gundermann: That would take a while, especially since we haven't seen much of a positive impact at this point to slow us down. Mark, I'll flip it to you again in a second. But we, a few years ago, delivered quite a view ship sets in advance or -- of when Boeing slowed the whole project down. So that inventory has been -- is being little were down. And we are shipping some 787 production, but it's not as big as we certainly expect it to be towards the end of this year. So at this point, we don't have any reason to believe that Boeing is going to cut their production plans. That's a real significant step for them to take. So it would take out -- it would take that kind of decision, we think, for it to affect us. Mark, you want fine-tune that answer at all? 
Mark Peabody: I don't think. I think you said it, Pete. They're -- Boeing's looking at -- I think it's ramping up to 7 a month out in midyear this year on their forecast. And if that got cut significantly, then we might see some effect at the very end of the year. But right now, everything is communicated that they're going full speed ahead. 
Operator: Our next question is coming from Kevin Ciabattoni from KeyBanc Capital Markets. 
Kevin Ciabattoni: Looking at the warranty and inventory reserve in the quarter, I know that hit last quarter as well and you kind of thought that was going to be a one-time thing. Was this related to the same issue you saw last quarter? And could you maybe give us some color around what's driving that? 
Peter Gundermann: Dave, you want handle that one? 
David Burney: Sure. The majority of the fourth quarter was more inventory than warranty-related. And it's part of our normal review of our inventory and we do it every quarter, and to a large degree, it was some older inventory items that we don't see a market for relating to our Test Systems. Some of our older designs of our Test Systems products from years gone by, so we decided that there's no more opportunity there or minimal opportunity for those old designs. So we took a reserve on some of those. 
Kevin Ciabattoni: Okay, so in 3Q, it was more warranty-related, is that correct? And that issue is largely out of the way? 
David Burney: Yes. 
Kevin Ciabattoni: Okay, perfect. And then, Pete, I think you touched on this, but the 787 shipment, I know you -- I think your expectation was that they might start to pick up in 4Q and then start delivering on those in the kind of the January, February timeframe. It sounds like that didn't play out to the degree you expected on the positive side, is that correct? 
Peter Gundermann: Well, we are shipping 787s, but it's still at a relatively low rate compared to where we expect it to be when they get in the full rates. 
Kevin Ciabattoni: Did that increase at all through the end of the year, though? I mean, are you shipping more -- or were you shipping more at the end of the year than you were midyear, beginning of the year? 
Peter Gundermann: Yes, I don't think we were shipping any -- we weren't shipping really anything early midyear. Right, Mark? Is that-- would you agree? 
Mark Peabody: Yes. We went -- we had done some preliminary shipping like you said in 2011, and then there was the delay. And so right now, we're building again and fully expect to be shipping for 2013. 
Kevin Ciabattoni: Okay, perfect. And then last for me, what are your expectations around the tax rate for next year? And I guess, specifically or most importantly, next quarter, given the R&D tax credit affecting kind of a look back? 
David Burney: So the 2-part answer. We expect the normalized tax rate to be about 30%. That will be lowered in the first quarter as we recognize 2012 R&D tax credits. The reason we recognize those in the first quarter of this year is the legislation did not get put in place until after year end, so we were not able to recognize the tax credits in 2012 for 2012. Our estimate is that those credits that we will recognize in Q1 for 2012 will be about $700,000. So we think our rate, exclusive of that is about 30% and then adjust that for about $700,000 in the first quarter. 
Operator: Our next question is coming from Scott Lewis from Lewis Capital Management. 
Scott Lewis: My question is on the electronic power distribution system E&D. As you develop more and more systems, is there a learning curve that you're going to go down and maybe the expense is going to go down when you get to your -- I guess, you probably developed maybe 3 of these, or what's going to happen when you're on number 5, is it going to be cheaper? 
Peter Gundermann: It better be, Scott. Yes, there's a significant learning curve. And I think it's safe to say that our cost per system will continue to drop, we believe, fairly substantially. There are kind of 2 sides, though, to the cost associated with developing a system for a particular airframe. One is the cost of the technology itself. Do the basic building blocks of the system work? And -- or do they need to be redesigned and reengineered and modified and retested? And the others part of it is the specific working out of the system, assuming it is all completely engineered to that particular airframe. In other words, customizing the architecture specific to the end-use systems and making sure all the loads are correct and working out all the interactions with the other system suppliers on the airplane. That's all kind of airplane-model specific. And I would venture to say, on a quantifiable basis, we're expecting the first portion of that kind of cost loading to drop from being, say, 75% or 80% of the total cost of a particular development effort down to maybe 10%, 20% of the total cost of a particular development effort. In other words, when we sign a new program up, we try as much as possible to build a system around the building blocks that we've already proven out and have fully engineered, so that portion of task drops in importance, but there's still a fairly significant task in terms of customizing the system for that particular airframe. Does that make sense? 
Scott Lewis: Yes, that makes perfect sense. And then the second, also EPDS question is, with Eclipse, as you know, they are supposed to go back into production, maybe this July, and I was wondering, if you had an idea about the inventory they may have had of your product from prior to the bankruptcy, or if they're going to be ordering kind of fresh right from the start? 
Peter Gundermann: Dave, you want to handle that one? 
David Burney: Yes, I can't give you dollar amounts, but we have been delivering parts to Eclipse over the year. I can't tell you -- they're not  our -- one of our largest customers. But they have been buying lighting and power distribution parts from us. So I can't tell you what's in their inventory. I don't know that. 
Scott Lewis: Okay, and then you said this is kind of loading up for their new builds, right? Not -- it's not just been spares? 
David Burney: I would guess that most of it has been spares, for spares. 
Operator: [Operator Instructions] Our next question is coming from Edward Dutch [ph] from Partners For Business. 
Unknown Analyst: I'd like to expand -- if you could expand a little bit on the Test Systems area. You mentioned pent-up demand, difficult markets. I assume you're referring to the government issues, but how much do you think is going to come from the Commercial area? 
Peter Gundermann: We don't do a whole lot of work in the Commercial area. We do some work with, say, radio systems suppliers for their own factory tests capabilities. But those radio suppliers are largely military suppliers themselves. So we kind of look at it as a Military sale. 
Unknown Analyst: So the whole Test Systems business really focuses on the government sector? 
Peter Gundermann: Yes, it does. 
Operator: Our next question is a follow-up from Tyler Hojo from Sidoti & Company. 
Tyler Hojo: Just 2 follow-ups. What was Panasonic-related revenue in the quarter? That's the first one. 
Peter Gundermann: $25.6 million. 
Tyler Hojo: $25.6 million. And the second one, could you maybe just give us the cash flow from ops number for either the fourth quarter or the full year? And more broadly speaking, I'm just kind of wondering what the expectation is for cash generation in 2013? 
Peter Gundermann: Dave? 
David Burney: Sure, the cash flow from ops is about $24 million for the year. And as you know, we've spent a fair amount of money building out and completing the facility in Kirkland so our CapEx spending was pretty high during this year. I don't expect that to continue. Our CapEx was approaching $17 million for the year, about $12 million of that -- $12 million, $13 million of that was for the build-out of the new building. So our, what I would call our normalized CapEx was down around the $5 million range. And I expect, going forward in 2013, that we will be somewhere between -- we're still working out the final numbers, but less than $10 million, probably more than $5 million. And I think we'll have a strong cash flow generation year. We had a little buildup of inventory and receivables this year. I think I don't expect that to continue on the same trajectory that it was in 2012. So I think, 2013, we're looking forward to building up some more cash. 
Tyler Hojo: Okay, so just on the CapEx front, Dave, you came in a little bit lower than the low end of your CapEx guidance, nothing got pushed into 2013, is that correct? 
David Burney: No, nothing got pushed in, but a lot of the CapEx relates to timing of programs and tooling for programs, and as we talked about earlier, the Lear program, if we looked at it, a year ago, we would have expected to spend some more money, I think on the tooling for the Lear program in 2012 than what we did. So we're not pushing anything out. It's just where the timing is falling on those things. 
Operator: [Operator Instructions] It appears there are no further question at the time. I'd like to turn the floor back over to management for any further or closing comments. 
Peter Gundermann: Okay. No closing comments. Thanks for your attention, and we look forward to talking to you after the first quarter. Have a good day. 
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.